Operator: Good afternoon everyone, and welcome to the AvePoint Second Quarter 2021 Earnings Call. For opening remarks and introductions, I will now turn the call over to Erica Mannion at Sapphire Investor Relations. Please go ahead.
Erica Mannion: Thank you, and good afternoon. With me today from AvePoint are TJ Jiang, Chief Executive Officer; and Sophia Wu, Chief Financial Officer. TJ will begin with a brief review of the business results for the second quarter ended June 30, 2021. Sophia will then review the financial results for the second quarter, followed by the company’s outlook for the third quarter and full year of 2021. We will then open the call for questions. Please note that this call will include forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from management’s current expectations. We encourage you to review the Safe Harbor statements contained in our press release for more complete description. All material in the webcast is the sole property and copyright of AvePoint with all rights reserved. Please note this presentation describes certain non-GAAP measures including non-GAAP operating income and non-GAAP operating margin, which are not measures prepared in accordance with U.S. GAAP. The non-GAAP measures are presented in this presentation as we believe they provide investors with a means of evaluating and understanding how the company’s management evaluates the company’s operating limits. These non-GAAP measures should not be considered in isolation from as substitutes for or superior to financial measures prepared in accordance with U.S. GAAP. Listeners who do not have a copy of the quarter ended June 30, 2021 press release may obtain a copy by visiting the investor relations section of the company’s website. Now, I would like to turn the call over to TJ.
TJ Jiang: Thank you, Erica. And thanks to everyone for joining us on the call this afternoon. We’re excited to report our first quarter as a public company. I want to extend special thanks to the AvePoint team for their hard work and support during the public listing process. We’re excited about this next step in our company’s journey. I’ll start this afternoon with a brief highlight of the quarter. Then because it is our first earnings call, I want to take some time to discuss our business and market opportunity. In the second quarter, we delivered record results with revenue of $45 million, up 38% year-over-year, driven by the continued growth of Microsoft Teams and strong adoption of our collaboration security technologies. Within this SaaS revenue for the quarter reached $21 million, an increase of 76% from prior year, while subscription revenue, which we defined as SaaS revenue plus term license revenue reached $32 million, growing 66% year-over-year and representing 70% of our total revenue in the quarter. ARR, annual recurring revenue, an important indicator of future revenue growth also grew 33% year-over-year to $139 million. We have great momentum in our business in the second quarter, with customer spending more than $100,000 in ARR growing to $286,000, up 33% year-over-year. While our customer success investment initiatives continued to deliver results with a net dollar retention of 111% up five points from one year ago. For those of you who are new to our story, AvePoint has been an innovator in digital collaboration technologies for nearly two decades. We enable organizations worldwide to collaborate with confidence in the cloud by securing collaboration data, sustaining the connections between people and ensuring business continuity. AvePoint offers the only full suite of SaaS solutions to migrate, manage and protect data in cloud-based platforms like Microsoft 365. With a dramatic acceleration of digital transformation over the past year, the need to shift IT infrastructure and operations to the cloud, ensure collaboration, security and protect data due to threats like ransomware has become a strategic and tactical imperative. Through this journey AvePoint has been uniquely positioned to provide more efficient and secure operations through both guidance and industry proven technology. For example, a large U.S. defense contractor with over 50,000 employees globally had a strong desire to modernize their collaboration through their investment in Microsoft 365, especially Microsoft Teams. But given their need to demonstrate compliance with restricted data and contracting practices regulations, they found themselves challenged by how to align their strict data handling and access request requirements with a more free-flowing sharing model in Microsoft 365. After deploying AvePoint’s FedRAMP authorized instance of our governance and management cloud solutions from Microsoft 335. They were able to satisfy their audit and regulatory teams and release Microsoft Teams to their end users, resulting adoption by 17,000 users in the first week after launch, and 30,000 users by early May. Soon after that, they’re expanding their use of AvePoint solutions to more critical workflows in their business. With AvePoint solutions, organizations have the ability to enable rapid, sustainable, adoption of critical applications like Microsoft Teams, which have recently been experienced in record growth in organizations large and small. We provide customers with confidence in their ability to monitor manage and govern the rapid adoption of new cloud services while saving time and money. Customers can accelerate their cloud adoption with AvePoint solutions by decommissioning homegrown or point solutions that fail to provide key insights and flexible automation that drive business outcomes. While AvePoint’s revenue and product lines following the overall cloud market are heavily Microsoft centric today, the solutions we provide are built on proven best practices for management, governance and compliance no matter the platform. AvePoint has already made investments to capture multicolor opportunities such as Salesforce and Google. We believe that our cloud agnostic approach combined with projected overall growth in cloud usage will lead to significant expansion of AvePoint’s market opportunities in the years ahead. As we look at our core customer base today, we continue to enjoy strong momentum from enterprises across the world, accelerating the transformation of their collaboration environments, as they adopt and mature in their cloud usage. Our cost solutions are now used by more than eight million users. In addition to our strong position within the enterprise landscape, we have also begun to partner with managed service providers or MSPs, to expand our SaaS based offerings to small medium businesses or SMB customers. While early in the overall penetration of this opportunity, in the long-term, we view this to be material as it has the potential to nearly double our addressable market, given SMBs representation across Microsoft 365 user base. Looking forward, we believe the market opportunity ahead of us remains very attractive. And we intend to continue ramping up our investments in market awareness, technology innovation, and growth while prudently managing our expense structure. Within our go-to-market organization, for example, we have grown headcount by approximately 50% across our sales, customer success, and channel functions. With these and other related investments, we aim to increase our market share of Microsoft 335 user base, boost our customer retention rate, and continue our triple digit growth in the SMB market via our channel partners. Lastly, specific to our channel strategy, in July, we launched our first ever global partner program designed to meet the unique needs of different types of partners, including managed service providers, value-added resellers, cloud consultants and DevOp partners. Channel is an important expansion vector for AvePoint in the years ahead. So, we made it a priority across our business. Through this partner program, it is our goal to enable partners to maximize the full economic opportunity our technology offers, and capitalize on the digital collaboration wave, as the only independent software vendor or ISV, offering an all in one approach to providing a full collaboration security platform. Before turning the call over to Sophia, I want to quickly highlight the recently announced expansion of our executive leadership team with appointment of Jim Caci to Chief Financial Officer and Tom Lin to Chief Operating Officer. The company’s existing CFO Sophia Wu will now serve as Chief Accounting Officer and Brian Brown will continue to serve as Chief Legal and Compliance Officer all effective August 23, 2021. This is an exciting time to be at AvePoint. Looking ahead, we recognize that our public listing is just one step in the journey of our company. And while we’re excited to have achieved this milestone, we have much more to do. We look forward to continue our momentum in 2021 and updating all of you in the quarters to come. With that I’ll turn it over to Sophia to discuss our financial results in more detail.
Sophia Wu: Thank you, TJ, and good afternoon, everyone. As I review our second quarter results today. Please note that I’ll be referring to non-GAAP metrics unless otherwise noted. A reconciliation of GAAP to non-GAAP financials is included in today’s earnings release, which is available on our website. Given this is our first earnings call as our public company. I want to start by providing some perspectives about our business model and financial profile. Then, I’ll walkthrough highlights from the second quarter, and finally I’ll close with guidance for the third quarter and full year before we open up the call for questions. As a software company serving a wide range of customers from highly regulated Fortune 500 enterprises to SMBs through our MSP partners. Our steady motion is to engage with our customers in a way which best fits their needs. For our large enterprise customers, which often have hybrid and multi cloud IT environments, this is often a combination of SaaS and term license deals, which have approximate duration of 2.25 years, while our MSP partners are 100% SaaS billed on a monthly basis. While from our customer’s point of view, both SaaS and term license deals are considered subscription. Due to the adoption of ASC 606, our revenue recognition of each differs. Our SaaS revenue is recognized ratably over the term of the deal, whereas for term license, we will typically recognize 60% to 80% of the total deal value upfront. While all the time we do expect the SaaS portion of our business to contribute an increasing portion of our overall revenue. It is worth noting our term license business is an important element of our offering for large enterprises, and we will continue to support them as they implement their cloud migration initiatives. As a result of this dynamic, we believe ARR is a useful metric to track the period-to-period progress of our business, as it provides a more relevant comparison between growth in our SaaS and the term license revenue streams. In addition to software revenue, we also generate revenue from professional services, which primarily consist of implementation and support services, as well as maintenance revenue carried over from our legacy perpetual license model. Over time, we expect our professional service revenue will grow incrementally in dollar terms, but become a lower portion of our overall revenue mix as our software revenue growth. As our remaining legacy perpetual customers eventually migrate to either a SaaS or term licensed solution, we expect our maintenance revenue to steadily decline over time. Moving on to our quarterly result, total revenue for the second quarter ended June 30, 2021 were $45 million, up 38% year-over-year. Within this SaaS revenue was $21 million, constituting 45% of total revenue and up 76% year-over-year. As of the quarter end, we had ARR of $139 million, which included 286 customers with ARR of over 100,000 up from 270 customers as of March 31, 2021. In addition, our average core [ph] ARR account at the end of the quarter was 36,000, which represents a growth of 30% year-over-year. As TJ mentioned, over the last several quarters, we have increased investment in our customer success organization to generate greater customer coverage and ultimately drive our dollar-based net retention towards the best-in-class industry benchmark of 120%. In the second quarter, our core dollar base and net retention rate was 111%. As we have discussed previously, our long-term goal is to drive dollar-based the net retention to 120% by continuingly to invest in our customer success organization, and expanding the usage of our platform with existing customers. Now, let’s review the income statement in more detail. Gross profit in the quarter was $34 million, representing a gross margin of 75% compared to 73% in the year ago period. This improvement in margin is due to the continued shift in mix of our revenue towards subscription. Recurring revenue growth margin remains strong and it was 86% in Q2. Sales and marketing expense were $19 million or 42% of revenue compared to 38% in a year ago period. This increase was driven by an increase in headcount and personnel related expense as we expand our sales and a customer success organizations as well as additional marketing spend as we invest in our MSP and channel strategies. We intend to invest in sales and marketing as we continue to drive awareness in the market, and expand our sales force and marketing efforts to leverage our industry position and capture the significant opportunity in front of us. R&D expense was $4 million or 8% of revenue roughly in line with the year ago period. The increase our dollar basis was driven by investment in product innovation, resulting in additional development costs and additional headcount. G&A expense was $7 million or 16% of revenue, compared to 13% in a year ago period. G&A reflects an increase in people and infrastructure related expense associated with our public ready efforts. Non-GAAP operating income was $3 million or 7% of revenue, decreasing in dollar terms from an operating profit of $4.2 million in the year ago period. Turning to the balance sheet and cash flow, we ended the quarter with $68 million in cash and short-term investments, which does not include the $204.5 million in net proceeds we received from the closing of our business combination on July 1. Adjusting for this, our cash balance as of June 30, would have been over $270 million. Cash provided by operations was $2 million in a quarter, while free cash flow, which includes CapEx was $2 million. I would now like to turn to our outlook for the third quarter and the full year 2021. For the third quarter, we expect revenue of $51.5 million to $53.5 million and a non-GAAP operating profit of $1.7 million to $3.2 million. For the full year, we expect revenue of $192 million to $196 million and a non-GAAP operating profit of $4.7 million to $7.7 million. With that we’ll open up the call for questions. Operator?
Operator: [Operator Instructions] Our first question is from Brian Essex with Goldman Sachs. Please proceed with your question.
Brian Essex: Hi, good afternoon, and thank you for taking the question and congratulations on the results in emerging as a public company. I guess for the first question. TJ, you noted in your prepared remarks that you achieved FedRAMP status and you cited a nice defense contractor deal. What does the pipeline look like? What do you see ahead in the pipeline for FedRAMP associated business and how much penetration in visibility into penetration do you have in that pipeline?
TJ Jiang: Good afternoon, Brian. Thank you for the question. So public sector is our biggest vertical solution space. We have a dedicated public sector team based in Arlington, Virginia. The FedRAMP is very important aspect to it. So, we do see that there are opportunities that involve FedRAMP that we’re able to close now that we’re FedRAMP authorized. FedRAMP certification itself is a long process. This is also why we talk about, this first in market first mover advantage it took it usually takes several years to obtain the authorized status go from the initiated status. And we continue to see robust pipeline from that. So it’s important thing. And it’s also been cited by other software companies of their various stages of process. So as to the overall TAM, it is harder to gauge right now. We know it’s important. And we have a robust pipeline associated with FedRAMP authorized status.
Brian Essex: Got it. That’s helpful. So thank you for that. And then maybe just a follow-up with regard to the Salesforce backup cloud, particularly, with the potential penetration incremental penetration into service providers, how do the service providers view that platform? What are they using currently? And how do you view the opportunity there?
TJ Jiang: Yes, we view the Salesforce backup as a service opportunity as a moderate growth factor for us right now. But it is a very important aspect of our multi cloud play where we continue to expand our footprint into existing accounts. So, Salesforce is the provider themselves have kind of gone back and forth in providing some minimum backup type of services. But we all know, even from a very critical ransomware protection perspective, customers do need third-party segregated storage, preferably SaaS providers to have bring your own storage, bring your own encryption, bringing authentication type of approach, that full flexibility afforded to customers. So, we see that as a more moderate growth vector for us. There are a couple of Salesforce backup providers in the market. Most notably Salesforce, themselves have backed away from providing that natively and then only recently backup with very, very basic functionalities, which customers require more, I think this third party provider solution, it’s a very important aspect to what the market needs today.
Brian Essex: All right, that’s helpful color. Thank you. I have more, but I’ll hop back in the queue. Thank you very much.
TJ Jiang: Thank you, Brian.
Operator: Our next question is with Jason Ader with William Blair. Please proceed with your question.
Jason Ader: Good afternoon. Hi, guys. Two questions, one for TJ, one for Sophia. For TJ, can you provide an update on the number of Microsoft 365 users? I know you guys have been saying over 7 million, but is there any specific update you have there? Or is that something that you may provide periodically for us?
TJ Jiang: Yes, so we just announced that it’s now over 8 million.
Jason Ader: Okay.
TJ Jiang: It’s a metric. Yes, it’s over 8 million. And it’s a metric we don’t intend to update on a quarterly basis. Because the nature of our licensing and coverage and hybrid licenses, we think the best reflection of our growth continued to be ARR growth annual reoccurring revenue growth. So but yes, so it is now a well over 8 million.
Jason Ader: Right. Okay. And then Sophia, for the operating income guidance for the year, I noticed that it was lower than what you guys have provided publicly, I think you originally provided $8 million and now you’re saying a little bit, I think $6.2 million at the midpoint. Can you talk us through what changed there?
Sophia Wu: Yes. Hi, Jason. So this is mainly because we increase our investment into our business split between three buckets. We increase our investment in sales and marketing, including new positions in channel business, which TJ will share a little bit more color later. We also increased our standing in G&A, which is a mix of a few things, its incremental public accompany cost, increase the professional fees more than we originally budgeted, and also additional headcount such as hiring of Jim, which will add additional strength to the existing management team. We also see good opportunities to increase our investment in R&D to bring new products in 2020 and beyond. So therefore, we increase the headcount in H2.
Jason Ader: Got it.
TJ Jiang: So Jason, on the channel side, Sophia mentioning we announced our global channel program in July, so we’re investing very aggressively into the Channel and Channel initial stages are relatively expensive. There’s a whole priming the pump action going on, as well as essentially enabling accelerating channel partners to then conduct business with us and be familiar with our products. But of course, channel is the fastest way to secure our business given the massive TAM in front of us, we have expanded channel coverage to not only our a monthly recurring side of SMB business, but also our telesales, mid market business, selling to businesses all the way up to $2 billion annual revenue. So it’s a very aggressive investment from our side. Of course, at the same time, we are meaningfully controlling to make sure that we are managing our OpEx costs meaningfully, but still maintain aggressive growth posture.
Jason Ader: Thank you for that. And one quick last one for me on the MSP business, TJ, is that – does that meet your expectations?
TJ Jiang: Yes, so far, it’s, it’s about 5% of our ARR right now. And we’re growing three digits. It is meeting our expectations. We’re investing more aggressively into it. It’s a fantastic market, as we mentioned before, right, because we’ve been enterprise focused, but being SaaS provider allow us to be accessible, far more accessible to the SMB market. So that allow us to effectively double our TAM because again, the user base that SMB market represents, in the Microsoft 335 ecosystem. We define also SMB as businesses with $250 million annual revenue, or 500 employees or fewer companies. That’s actually a very, very big space.
Jason Ader: Great. Thank you.
TJ Jiang: Thank you.
Operator: Our next question is with Kirk Materne with Evercore. Please proceed with your question.
Kirk Materne: Okay, thanks very much, and congrats on the quarter. TJ, Microsoft called you guys out as one of their key partners at inspire the summer. And I was wondering, just can you talk about how that partnership is changing from a go-to-market perspective? Or is evolving? Maybe is the better word? And how is that helping your tax rates that you see with Microsoft? More recently, I know you’ve had a long partnership. I was just kind of curious about some of the more recent changes on that front. And then I have one follow up.
TJ Jiang: Yes. So Microsoft, we continue to have a very robust relationship that has spanned now, close to two decades. We talked about the sales relationship where we one of the top five global IP co sale partner that Microsoft has for cloud consumption, where Microsoft reps actually get comped on our deals, 10% of our TCB goes towards that accounts, Microsoft reps compensation for cloud consumption retirement. So in that regard, we’re top five in the same categories as Adobe and DocuSign. So asymmetrically, that makes us important. So that’s the sell side. On the product side, we have a team of MVP. So Microsoft, most valuable professionals, these are voted by the community and selected by Microsoft, as well as a team of RDs, Regional Directors. So these are MVP of MVPs. And they actually represent the industry voice. So they asked us to get to see the bits, the new products and innovation from Microsoft ahead of everyone, also due to our long-term relationship and our great reputation. And being a global top partner for Microsoft, we our product team, and Microsoft product team have regular syncs. So all those things, collectively forms this win-win foundation, where we stay ahead of the game. We know where Microsoft is investing, and we can essentially anticipate where the opportunities reside for us. A good case example of this is, for example, in education when Microsoft released the Viva, which is their LinkedIn and teams integration, to talk about continuous education learning. And we actually are one of the charter members, and be able to access have API access and offer one of the industry’s most comprehensive, Microsoft 365 Based Education Technology Solution for Higher Ed and Corporate, which we call actually, AvePoint EduTech. So that’s a massive win for us. We have grown that business very, very rapidly in Asia-Pacific region, and now we’re expanding to North America and Europe. And that’s all thanks to the tremendous support we have with Microsoft Education team, all the way back to corporate and the product team. So that just showcase the early look ahead that we have, allow us to anticipate where the investment areas will come from where to avoid, and allow us to stay ahead of the curve here.
Kirk Materne: That’s very helpful. And then just one quick question about sort of the trends around NRR. I know you guys have focused or have invested a lot in your customer success organization. Did you feel like there’s still some low hanging fruit in that area in terms of helping NRR moved higher or is NRR growth and you’re going to have to be more you either retention and or up-sell driven.
TJ Jiang: Our goal is to quickly get to the industry benchmark of 120%, our right now were 111%. We have shown meaningful improvements over the last two and a half years of investment. Just year-over-year, it’s about five points improvement. It’s, for us, we’re very comfortable with that. It’s an investment of technology, people and process will continue to do that from cross sell and up-sell capabilities. We’re pretty comfortable that we’ll get to the industry benchmarking medium term.
Kirk Materne: That sounds good. Thanks for answering the questions.
TJ Jiang : Thank you, Kirk.
Operator: Our next question is from Nehal Chokshi with Northland Capital. Please proceed with your question.
Nehal Chokshi: Thank you. And nice to see sustained 30% plus ARR growth. That’s awesome. Congratulations. Marks out the change that on how their reporting teams growth. It’s not really very clear if team’s growth is tapering or not. In that context, can you give us some perspective as far as what you think is happening there? And then how does that affect your pipeline?
TJ Jiang : That’s a great question to Nehal. So, Microsoft Teams previous announced number was 140 million actively data users. And now they just recently announced 250 million actively monthly users. Interestingly, we also announced that the E5 penetration for Office 365 is 8%. So again, these things are more nuanced, because there’s different license types, different coverage, you also have seasonal kind of coverage. So for us, it just continued to being a massive TAM, because Microsoft Team is truly the killer app. It’s really, as we mentioned before, highly integrated with the entirety of Microsoft 365. And now especially with Windows 365, so Cloud PC, where every instance has Microsoft Team baked in. In fact, our team’s app, which called My Hub, it’s the number one team’s app in Japan, and one of the top ones globally, it’s baked in into these instances. So, what it does is create that evergreen motion here. And as Microsoft continually update their builds and have the releases updated in real time, via these Cloud PC instances, our latest apps gets rolled out as well. So, I think that will only help increase lower the barrier to entry and increase our ability to go to market. So it’s only good from AvePoint’s business opportunity perspective.
Nehal Chokshi: Okay. So, I sort of interpret that answer as that yes, team’s growth is not tapering, they remain strong, and therefore your pipeline hasn’t stabilized is still growing i.e., the opportunity continues to outstrip your sales capacity. That was more correct interpretation there?
TJ Jiang : Yes. That’s correct Nehal. If you look at the reoccurring side of our business, we’re growing north of 50%. Right. So, reoccurring is actually growing 66% and the pure SaaS, pure cloud customers are growing north of 70% plus. So yes, we continue to see incredible momentum in the market.
Nehal Chokshi: Okay, great. And then how does that color your ARR year-over-year expectations for the balance of the year then?
TJ Jiang : So against this some macroeconomic volatility and uncertainty right now, we are being constructive in our guidance. So, we remain consistent with our previous guidance of maintaining this 30% revenue growth.
Nehal Chokshi: Okay, great. And then can you disaggregate that 111% net revenue retention rate into gross revenue retention rate and up-sell rates?
TJ Jiang : Yes, we don’t discuss our growth, retention rate, we’ll continue to focus on NRR, net retention rate, and continue to improve that. And we’ll continue to highlight on the ARR growth because we feel like those are the most meaningful metrics that we tailor our business towards. So the entire organization is essentially operating along the same KPIs.
Nehal Chokshi: Okay, great, thank you.
TJ Jiang : Thank you, Nehal.
Operator: [Operator Instructions] Our next question is from Brian Essex and Goldman Sachs. Please proceed with your question.
Brian Essex: Hi, guys, I just like to circle back with a couple follow ups. I guess one on gross margin. It looks meaningfully better this quarter. Better than we expected. Maybe Sophia, if you could provide some puts and takes around gross margin, the margin expansion you saw in the quarter and what to expect going forward?
Sophia Wu: Yes. Our higher than expected gross margin was partially due to the revenue mix as we continue to shift towards subscription. But it’s also a result of improvement in your service margin. So, we do expect this gross margin to remain at this level through the rest of the year.
Brian Essex: Is that – I mean, subscription, gross margin looks like it improved as well, like 300 basis points, was that scalable over – scalability over Azure, was it, just incremental margins, incremental subscription added to the platform? How do we think about this and sustainability of these kind of margin levels on a per segment basis going forward?
Sophia Wu: What you said is true. We would expect this to continue for the future quarters.
Brian Essex: Okay. And then I guess, to add on to that, so that’s very helpful, in a given incremental investment that you made in the platform to approach this, market opportunity that you had, I think before we’ve had some kind of visibility into operating margin expansion over the next several years. Any shift in those expectations? Do we kind of think about ongoing expansion of after a year of investment main strategically, how do we think about your kind of progression to better profitability going forward? Given obviously, you’re focused on growth as well. But just wondering how you’re balancing the two?
Sophia Wu: Yes. We always want to reach a good balance between growth and provide meaningful return to our shareholders. So, our long term growth margin 75% and we expect our non-GAAP EBIT target in the long term to be at 25%.
Brian Essex: Okay, I guess I’ll follow-up afterwards. But I’ll hop back in the queue. Thank you.
TJ Jiang: Thank you, Brian. Yes, this is TJ, from the business perspective, we clearly have a massive TAM in front of us. We want to accelerate our ability to capture that. So yes, we will play a nice balanced play between growth, revenue growth and profitability. Ultimately, we want to stay north of that Rule 40 as the benchmark guidance and measurements against SaaS companies. So, whether that’s 30% growth versus 10% profitability or 40% growth versus neutral profitability, that’s something we’ll continue to work on. But ultimately, we want to go after the TAM in front of us quicker.
Operator: Okay, ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back over to TJ Jiang, Co-Founder and CEO for closing remarks.
TJ Jiang: Well, thank you, everyone. Thank you for taking the time to listen to our first earnings call. Thank you for your support. I really appreciate the AvePoint employees for your hard work and AvePoint’s investors for your support. We continue to execute on our business, as we have laid out previously and we look forward to future earning calls with you. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.